Operator: Greetings, and welcome to Ecolab Inc.'s Fourth Quarter 2024 Earnings Release Conference Call. At this time, all participants are in listen-only mode. The question and answer session will follow today's formal presentation. A reminder, this conference is being recorded. At this time, it is now my pleasure to introduce your host, Andy Hedberg, Vice President, Investor Relations. Thank you, Mr. Hedberg. You may now begin.
Andy Hedberg: Thank you, and hello, everyone, and welcome to Ecolab Inc.'s fourth quarter conference call. With me today are Christophe Beck, Ecolab Inc.'s Chairman and CEO, and Scott Kirkland, our CFO. A discussion of our results along with our earnings release and the slides referencing the quarter results are available on Ecolab Inc.'s website at ecolab.com/investor. Please take a moment to read the cautionary statements in these materials, which state that this teleconference and the associated supplemental materials include estimates of future performance. These are forward-looking statements, and actual results could differ materially from those projected. Factors that could cause actual results to differ are described under the risk factors section in our most recent Form 10-Ks and in our posted materials. We also refer you to supplemental diluted earnings per share information in the release. With that, I'd like to turn the call over to Christophe Beck for his comments.
Christophe Beck: Thank you, Andy, and welcome to everyone on the call. As we wrap up another incredible year at Ecolab Inc., I wanted to take a moment to acknowledge the hard work and dedication of our exceptional team. Their unwavering commitment to our mission has been instrumental in delivering unmatched value and best-in-class outcomes for our customers, driving Ecolab Inc.'s record performance. It's a true privilege to lead such a talented group, and I'm proud of what we've achieved together over the last few years. 2024 was another record year for us, with record sales, record earnings, record margins, and record free cash flow, all supported by the exceptional total value we delivered to our customers. As we look ahead to 2025 and beyond, our results position us well to continue delivering superior performance for both our customers and our shareholders. In Q4, our organic sales growth was solid and steady at 4%, driven by consistent volume growth and value pricing. Regionally, our performance continues to be led by the United States, where organic sales grew mid-single digits. The United States makes up more than half of Ecolab Inc.'s sales and is our most profitable region. We expect this region to strengthen further in 2025, fueling continued strong performance for Ecolab Inc. Sales across the rest of the world grew low single digits driven by resilient demand for our leading solutions, good new business wins, and value pricing, which more than offset the uneven macroeconomic trends in these regions. Our organic operating income margin in the fourth quarter increased a robust 150 basis points. This underscores our commitment to driving margins higher while making continued critical investments in sales firepower, capabilities, and capacity to fuel our future growth. For the full year, our organic operating income margin was 16.8%, up 290 basis points on top of 140 basis points delivered in 2023. With all of this, my confidence in reaching our 20% operating income margin target over the next three years continues to strengthen. As we move into 2025, I'm confident in Ecolab Inc.'s ability to drive continued solid organic sales growth and 12 to 15% earnings growth. Our strategy centers on capturing market share through our OneEcosystem and accelerating momentum in our new growth engines, specifically in data centers, microelectronics, life sciences, and our newest offerings from Ecolab Digital. Externally, currency translation is expected to have an approximate 3% unfavorable impact on Ecolab Inc.'s 2025 reported sales growth and an approximate 4% unfavorable impact on adjusted EPS growth. We plan to mitigate the earnings impact in two ways: one, through stronger value pricing, which is expected to be slightly higher than 2024's pricing as the total value delivered to customers continues to expand, and two, through slightly faster than expected OneEcolab savings. As a result, we look for continued superior performance in 2025 with adjusted diluted earnings per share expected to increase 12 to 15%, even with organic sales growth improving slightly from the 4% we delivered in 2024. With a solid growth formula in place to deliver again in 2025, we also plan to build and invest in our business to fuel continued strong performance for the years ahead. Two of these critical areas include Ecolab Inc.'s global high-tech business and Ecolab Digital. Our global high-tech business operates in the rapidly growing multibillion-dollar data center and microelectronics industries. Sales in this business have reached over $300 million, and we expect strong growth to continue in the coming years with OI margins well above 20%. The rise of AI is prompting data centers to rethink their cooling strategies, leading to a shift from air-cooled to liquid-cooled servers. This transition presents Ecolab Inc. with a significant opportunity to apply our extensive expertise in fluid management, microbiome control, and naturally high-performance cooling, which is one of our core competencies, to help our customers optimize their operations, maximize uptime, and protect their substantial investments. Our new business pipeline in these markets is very strong, driven by robust demand for breakthrough innovation focused on performance cooling for data centers and water circularity for microelectronic fabs. We're well-positioned to leverage these innovations along with our leading digital applications and global sales and service expertise to serve the world's largest technology companies. Ecolab Digital will also add to our momentum by leveraging the power of our extensive digital and AI capabilities to identify across the 40 industries we serve. Ecolab Digital manages more than 100,000 customer systems around the world today. Last year alone, we captured more than 120 billion proprietary data points across these systems. This data was used to identify ways to deliver improved operational performance and profitability for our customers' global enterprises. We're monetizing this enhanced customer value through patented device leases, application subscriptions, and digital content consumption, all of which is supported by Ecolab Inc.'s global sales and service organization to make it work. As previously indicated, we'll begin to report our digital sales in 2025 to provide even greater transparency to these high-growth, high-margin opportunities. To support these efforts and our other growth engines, we will continue to accelerate smart organic and inorganic investments. With this, we expect our CapEx to sales to be around 7% in 2025 as we continue to expand digitally connected systems like our Ecolab 3D Cloud, 3D Tracer, AI dish machine program, and pest intelligence. With our record free cash flows and very healthy balance sheet, we are also in a unique position to take advantage of inorganic opportunities in water, digital, and life sciences to deliver even more value to customers and attractive returns for shareholders. With these initiatives, we remain focused on further enhancing shareholder returns through increased dividends and share buybacks. In December, Ecolab Inc.'s board declared a 14% increase in our quarterly cash dividend, and in 2024, we bought back $1 billion of Ecolab Inc. stock at very attractive prices. All signs of confidence in our team and in our future. Overall, I firmly believe the best of Ecolab Inc. is yet to come. Our ability to deliver innovative solutions that improve our customer's operational performance while reducing water and energy use is increasingly relevant in today's macro landscape. We're well-positioned to deliver another strong year in 2025 and beyond. So thanks again for your continued support and your investments in Ecolab Inc. I look forward to your questions.
Andy Hedberg: Thanks, Christophe. That concludes our formal remarks. Operator, would you please begin the question and answer period?
Operator: Yes. Thank you. We'll now be conducting a question and answer session. We ask that you please limit yourself to one question per caller so others will have a chance to participate. You may press star two if you would like to withdraw your question from the queue. It may be necessary to pick up your handset before pressing the star keys. One moment, please, while we poll for questions. Thank you. The first question is from the line of Tim Mulrooney with William Blair. Please proceed with your question.
Tim Mulrooney: Scott, good afternoon.
Christophe Beck: Hi, Tim.
Tim Mulrooney: Hello. So it sounds like your confidence around that 20% OI margin target by 2027 continues to go up. And it looks like the market's coming around to that idea as well based on the stock price today. I wonder if you could help us, though, think through the cadence of that expansion over the next three years and remind me about the primary drivers behind this. Thank you.
Christophe Beck: Great question. Thank you, Tim. So you're right. I feel we feel really good about getting to 20% by 2027, just to be accurate as well. Even though the exact timing will also depend on external factors. But we're talking quarters here, not years. So 2027 is for me the year where we should cross that 20% line. So why am I confident? Well, first, we've been on a steady trajectory for a few years now. Our OI margin went up as mentioned earlier, so up 140 basis points in 2023, 290 basis points in 2024. We had 16.8% in 2024. And second, focused on the right things to drive margins. It's top-line momentum, which is pretty steady. I like it. Second, value pricing, solid. We didn't exactly know where it would land. So these two to three percent seems to be the sweet spot. So for us, innovation keeps to add margin in a very steady way. And fourth, productivity driven by technology. So for 2025, with everything I know today, I think that we should cross the 18% OI margin this year. And beyond that, when I think about the new engines, team that we are building and fueling to accelerate momentum like the global high-tech. I mentioned before, data centers and fabs. While it north of 20%, those businesses. Life sciences, underlying as well. We're investing behind it to really sell. Get ultimately so this north of 20% margin in the P&L but that's gonna take a few years to get there. And last but not least, Ecolab Digital, which is doing really well, which we will report in the first quarter as promised as well. While has very good margin as well at the same time. So great track record so far, focused on the right drivers to drive margins. So feel good about crossing the 18% line in 2025. And with what we're building in terms of new businesses, ultimately, so we get the 20% by 2027, as I promised, so for a while now.
Operator: Our next question is from the line of Manav Patnaik with Barclays. Please proceed with your question.
Manav Patnaik: Thank you. Good afternoon, Christophe. Apologize if I missed this, but I know you said you report the digital numbers, I guess, throughout the year. Any sense of, you know, just sizing it? And I suppose you know, how intertwined is it with your OneEcolab initiative and the importance of that?
Christophe Beck: Yeah. So I promise that we would be disclosing that in 2025. We want to do it obviously the right way. It's gonna be top-line in 2025, and it's gonna be more of the P&L in 2026. Hopefully, that we can have numbers that you can trust that are transparent. It's all in the spirit of giving you as much visibility as we can. But today, it's a few hundred million. We'll provide the exact numbers as we report the first quarter. It's high growth, high margin, high touch, very sticky. Because it's a combination of mostly three things. And it's purely digital. Like you would use with your iPhone or Samsung, whatever you have, Manav. Well, we get lease or rent for our devices, and we have 100,000 of those connections around the world. So it's first digital equipment leases, second is software or think applications on a phone, but for us, it's software like Omni to improve optimize performance of a power plant, for instance, between the cooling tower and the condenser while we get the of data, of transaction, of minutes of support, of emergency service, and so on. So those are the three components that will be feeding our numbers that we'll be reporting under Ecolab Digital. And last point, the relationship to OneEcolab, well, it's very, very clearly intertwined. And on purpose, obviously, because all the information that we're getting with all our connected systems and our service data, by the way, that we captured from our field Salesforce or from our customers or from other systems, all feed into Ecolab 3D that ultimately provides data for the software and the consumption as well that's being used by our customers. So it's two sides of the same coin, but more to come at the end of the first quarter. So when we can really report our top-line numbers.
Manav Patnaik: Thank you.
Operator: The next question is from the line of Ashish Sabadra with RBC Capital Markets. Please proceed with your question.
Ashish Sabadra: Thanks for taking my question. I just wanted to better understand the volume growth expectation as we get into 2025. If you could provide any color by segments as well as any potential impact from tariffs. Thanks. And congrats on solid results.
Christophe Beck: Thank you so much, Ashish. So if I understood you right, the last part of your question was the impact of tariffs, which is obviously a bit of a different topic here. But generally, with what we know now and it's an evolving proposition, as we know as well, we don't see a big impact on our business for a very simple reason. Is that 92% of what we sell is produced locally. And in places like China, it's 99% of what we sell is produced locally. So we're kind of well protected from a supply chain perspective. That's the reason why tariffs, for now, not a big deal, for the company, and hopefully, it's staying so. And if it doesn't, I'd like to remind you and all as well online that a few years back, we established that surcharge mechanism that we used for the energy spike in 2022. Well, this is a mechanism that in the extreme case, we can use as well. We're not planning to, but we prepare to use it if we need to. So kind of feeling good about that tariff story. Now the first part of your question on volume, 2025 the way we need to think about it, not every quarter is created equal, but trajectory is basically around 2% volume growth. This is kind of the cruising speed we've had for a few quarters now. The price value price, two to three, but better than in 2024, I believe, which will lead to a 4% plus overall trajectory for 2025. That's kind of the top-line expectation for 2025. That's for organic, obviously, and then you have an FX component for reported numbers. But last point I'll make, two elements. First, in terms of long-term direction to refer what I shared with you almost two years ago by business in terms of top-line and margins at Investor Day. Those ones are still valid. No change on this one. And the last point is the United States is our largest market. It's over half our sales. It's our best performing market. With the highest margin as well at the same time. Which is a good place to be, in the world that we're living in right now. And around the world, it's obviously different market by market. But generally, I feel good. All the markets are in a reasonably good place. Good profitability as well. We have no underdog as well out there. So pretty well balanced in terms of business performance and market performance at the same time. While the US is the leading market, which is a good thing. Nowadays.
Operator: The next question is from the line of John McNulty with BMO Capital Markets. Please proceed with your question.
John McNulty: Good afternoon. Thanks for taking my question. So I was just curious if you could give us some color or thoughts on how you're thinking about delivered product costs in 2025. It seems like there's a bunch of kind of puts and takes out there. So if you can give us a little bit of color on that, that'd be great.
Christophe Beck: Thank you, John. I'll pass it to Scott so he can work as well a little bit.
Scott Kirkland: Thanks for the question, John. Yeah. As we think about the DPC, as we started seeing in 2024 where we start to see that the DPC tailwinds, normalize and really turn to normal levels of inflation, our expectation going into next year as we talked about after Q3 is this normal level of low single-digit inflation for delivered product costs. But certainly, we will continue to offset as much of that with supply chain efficiency. But that is our net expectation for DPC next year, it's low single digits.
Operator: Next question is from the line of Jason Haas with Wells Fargo. Please proceed with your question.
Jason Haas: Hey. Good afternoon, and thanks for taking my question. I'm curious if you could talk about what it will take to get the 2% volume growth to the long-term target of 3 to 4%, how much of that is reliant on some of these industries you're in improving versus what you can accomplish with OneEcolab and your other initiatives. Thank you.
Christophe Beck: It's our main focus, Jason. So I feel good about what we're doing about it. You mentioned OneEcolab. It's all about unlocking a bigger share of the $55 billion of penetration in existing customers that we have and as mentioned separately as well. Just our top 35 customers have a potential of over $3 billion of penetration as well. So when Ecolab Inc. focused on our major customer partners, it is the main driver of how much we can accelerate underlying growth as a company. The second component is really those new engines like I mentioned in my open, so global high-tech, with data centers and fabs, these are really interesting engines for the future. Life science is another one. Ecolab Digital, mentioned, that we're gonna start reporting at the top-line levels of Q1 will be one as well. And, ultimately, really keeping improving the performance of our core businesses, institutional pest elimination, our core water businesses, by focusing really on new business generation. And I feel good with the trajectory that we're having, the backlog that we have in terms of new business. We need to install it. So we have all the elements that we need. In order to improve the performance at the volume level, but I'd like to make sure that we also look at volume plus value pricing. Because for us, as you know, value pricing is not price. It's mostly the ratio of the value that we deliver to our customers, which as a proxy is usually twice the pricing that our customers are paying for us. So it's a very good deal for our customers while it's a good deal for our shareholders at the same time.
Operator: Our next question is from the line of Patrick Cunningham with Citigroup. Please proceed with your question.
Rachelle (for Patrick Cunningham): Hi. Good afternoon. Thank you for taking my question. This is Rachelle on for Patrick. It looks like LifeVax has performed better and what is driving the underlying system as them is the improving outlook in Q1.
Christophe Beck: Thank you, Rachelle. Life Science is a business that we started building in 2016, 2017, really focusing on pharma, the acquisition of Purolite in 2021, added really the ultra purification for the biotech world because we firmly believe that drug development, drug production, disease prevention, is gonna be and is a growth market long term. So feel really good about where the market is gonna go. We know that the industry had to go through a bit of a transition over the past few years, but it doesn't change where we're coming from, and it doesn't change where we go. It's just a few years of transition. During those few years, we've kept growing as well, but as far as we were hoping, but our competition was declining during that time. So feel pretty good as well about that. But the last few years, we've built new capabilities, clients, systems, quality systems, we've strengthened our team as well in dramatic ways, which is something that Ecolab Inc. is very strong at. So I feel really good about the industry we serve, how we serve that industry in being the smaller player very agile, very innovative, very responsive, very close to customers, and the capabilities that we've built for the future, and we see early fruits of coming out, which is a very good sign. So I feel good about where we are, where we're going with life science. It's not gonna be a straight line to have an for the quarters to come, not every quarter is created equal, but the direction of travel is good, and we keep getting better.
Operator: The next question is from the line of Vincent Andrews with Morgan Stanley. Please proceed with your question.
Vincent Andrews: Thank you. I'm wondering if you could talk a little bit more about sort of the leverage point. It looks like you're going to get to maybe it's in both data centers and in pest where you've had to make some meaningful investment to go after that business. And it's kind of more of a of a it percolates in the backlog for a while before it actually shows up in revenue. So maybe you could just help us understand where you are in terms of the level of spend that you've had to make versus starting to see a real ramp up or an inflection in the volume and therefore the margins that that new volume will drive as the volume becomes greater than the spend.
Christophe Beck: Yeah. Well, it's already a good business with good margins, to begin with. So we are investing behind these two businesses, data centers and fabs. But not in crazy ways. It's to do it in a smart way, in a typical Ecolab Inc. manner that it's pay as you go even though it's a little bit more than we would normally. It's not much more. So it's done in a very healthy way. And to your question of how far are we down that journey, well, it's early because it's early for everyone. The very good news is that it's new technologies that nobody has truly developed yet, and I think that we are best positioned for that. The way we present it internally and I might get a little bit ahead of my skis here, you have NVIDIA that's developing the best chips in the world. You have ASML producing the machines, to produce the chips, you have TSMC and Samsung producing the chips. And you will have us providing all the cooling technology and the water recycling in the fabs. Two comments on that. On data centers, technology today while you have a lot of computers in a room that's cooled with air conditioning, we're very strong at that. We know how to master that. Well, the new generation now is direct chip cooling. So you have a cold fluid going to the chip. Well, that's a very different technology. Can imagine so bringing that fluid to the chip, all the challenges of scaling of fouling, of managing, all that in real time. This is what 3D Tracer was made for initially. So we uniquely placed in terms of technology, so close to chip managing that fluid and cooling that fluid as well at the same time. Feel really good with the developments that we've made and very close to some of the largest tech companies out there. So all the big names are working pretty closely to us. And the last point, for the fabs, one fab, just for perspective, is using an equivalent of the drinking needs of 17 million people. So that can't go forever because, obviously, we won't have enough water. In order to feed all those fabs while feeding people. As well at the same time. So we need technology to reuse and recycle water within the fab, which is exactly what we're doing. And we're having some very good development projects with some very famous tech companies as well out there. So it's early. Because the industry is early, but I think that we are the leading edge and we will be the ones, hopefully, leading for the years to come as well.
Operator: The next question is from the line of John Roberts with Mizuho Securities. Please proceed with your question. Mr. Roberts, perhaps your line's on mute.
John Roberts: Sorry about that. In the pest elimination segment, could you discuss the accidents that you had and how much of the earnings headwind was the accidents versus the increased spending on pest intelligence?
Christophe Beck: Yes. First, we are an extremely safety-focused organization. As you know, John. So my first thought is really about the people and the families who have been hurt. We have some very good safety records, really at world-class levels. So when a few accidents happen, you can see in the records. You can see it in our cost evolution as well. So the OI decrease that we had, so the majority of it was driven by the accident. This is something that we're working on. We're very focused on. It can happen even though we are having that objective of goal zero in every business, every function, anywhere around the world. And when it happens, we deal with it. And that's exactly what happened. Unfortunately, in pest elimination, we need to live with it, but most importantly, we need to address it.
Operator: Thank you. Our next question is from the line of Shlomo Rosenbaum with Stifel. Please proceed with your question.
Shlomo Rosenbaum: Hi. Thank you very much. I wanted to ask if you could just unpack the CapEx a little bit. We talked about some investments into digital and some of the other areas. CapEx typically for the company was 5%. It moved up to a little over 6% last year, and we're talking about 7%. Are we into a new normal type of kind of business model, or is there something that there's a short-term, you know, increase in investment or acceleration of investments?
Christophe Beck: Let me pass it to Scott, and I'll comment after that.
Scott Kirkland: Hey, Shlomo. Yeah. Thanks for the question. As you know, CapEx by nature is a little lumpy. As you said, historically, we've been in this 5 to 6% range, but just to ground you, about half of that, CapEx as a percentage of sales is related to customer equipment. So customer equipment location, so as we're growing, CapEx will grow. And as we move to that 7% in 2025, as Christophe said, we're continuing to invest and we're growing. So as sales accelerate, we'll continue to invest there. But in addition to that, we have programs that he has mentioned around AI dish machine, which you may have seen at some of our shows, the pest intelligence which we've referenced, as well as the digital investments that Christophe talked before. So those programs excel at themselves as we accelerate in the near term certainly in 2025, I would expect possibly a little bit more elevated in 2026. But I don't think this is a long-term trend above 7%.
Christophe Beck: So it's not the new normal. But we have very strong cash flow, a very strong balance sheet, very good growth opportunities. Well, I want to leverage the capital that we have also to feed those growth opportunities while we return cash to shareholders as well at the same time. And keep the strong balance sheet that we have. So all in all, pretty healthy investments.
Operator: Thank you. Our next question comes from the line of Steve Byrne with Bank of America. Please proceed with your question.
Steve Byrne: Yes. Thank you. In order for your customers to utilize your products, whether it's in waste, whether water treatment, laundry cleaning, dishwashing, pest elimination, all of that equipment that they have, how much of it does Ecolab Inc. own or that you've sold to them or you have installed, is this part of the loyalty and pricing power that you have with those?
Christophe Beck: It's a great question, Steve. We own virtually all. Alright. And we want to keep it that way because it's proprietary new technology. It's much more sticky. This is good for us, but it's also good for the customer. Because they always get the latest technology, the upgrades, in software. They might pay for the new subscriptions for the new software as well. But, generally, dispensing equipment, digital all of that belongs to us.
Operator: Our next question is coming from the line of David Begleiter with Deutsche Bank. Please proceed with your question.
David Begleiter: Thank you. Christophe, on the 2025 bond growth, there's 2%, is that faster than the market? And if it is, how much faster than the market is it?
Christophe Beck: It is clearly faster than the market. You take the example of institutional, 6% growth in a down market. And you can look at different ways of looking at it. But the food traffic is down. So we're clearly gaining share. This is true in our water business as well at the same time. I feel really good about the share that we're gaining. The 2% is kind of the steady volume growth that we have. Our focus is to keep working on it, to accelerate it. As I mentioned before, well, with our growth engines, with capturing more share of the $55 billion by leveraging OneEcolab, adding digital as well. So all feeding into stronger than 2% for the long run. But we want to do it in a very smart way. I will never trade volume for price. And as you know, so we have strong value price as well. So it's keeping that equation in a good balance, and that's why you don't see so big swings around these two. We want to really do it in a very steady way that ultimately you can trust. Direction of travel that we're having.
Operator: Our next question is from the line of Jeff Zekauskas with JPMorgan. Please proceed with your question.
Jeff Zekauskas: Thanks very much. I have a three-part question, but I think your answers will be brief. If you compare industrial and institutional in the quarter, which segment grew its volumes faster? In terms of your 20% margin target, it turns out that in 2027, your amortization costs will drop from today's level by about $150 million. So your EBIT margin will go up about 90 basis points, but it won't affect your EBIT margin. So when you have that 20% margin target, does that include the drop in amortization, or is your EBIT target really 21% and it doesn't take that into account? And then lastly, in pest elimination, what exactly happened? Were Ecolab Inc. employees insured or customers insured? And why is this something which seems to have an effect over the next several quarters? Thanks.
Christophe Beck: So, Jeff, you paid for one question only, but I'm gonna give you the two bonus questions as well as a good friend. So first, the volume difference between institutional and industrial. So as you know, we're not disclosing, so of all volume and price, especially for competitive reasons, so I can't really answer that question. But in both cases, it's pretty good. So I feel good about the balance volume and price, which is something as mentioned before. That I want to keep a very good balance of, and you can see it at the overall company level. Second question, amortization is not included in 2027 there. So when amortization of the existing, obviously, so acquisitions that we've made, so it comes off the book, that's gonna be on top. But I'm not counting that. So to get to the 20%, and third one, in pest elimination, it's always a combination of two with insurance cost, so depending on who owns the accident, well, we have to pay. It's been unfortunate accidents as you know in pest elimination. We have a few thousand people on the roads 24/7. In sometimes remote places, in sometimes difficult customer locations as well. So it's been unfortunate, it happens. It was mostly in Q4. There's gonna be a little bit in Q1, but that's it.
Operator: Our next question is from the line of Laurence Alexander with Jefferies. Please proceed with your question.
Laurence Alexander: Good afternoon. Could you give us a sense of your assumptions for 2025 around SG&A leverage, taxes, interest expense, and buybacks?
Christophe Beck: Let me give it to Scott as well.
Scott Kirkland: Yeah. I got that. Thanks, Laurence. I guess a three-part question on my part if I've heard any of the three parts. But as we think about SG&A, as we talked about previously, we expected in our guide for next year to be at this 20 to 30 basis points of leverage. And that's net of continued to invest in the business. Now, certainly, with the impact of FX that will have an impact on that. But as we accelerate the OneEcolab savings as well, we still expect to be in that range of 20 to 30 basis points on SG&A leverage. But probably near the lower end of that range. And in Q1, I would expect it to be slightly negative because as you can expect, we're already seeing and it'll take some time to realize the savings aggressively throughout the year. And then as we talk about taxes, so this year, we landed the full year in between our 19 and 20% expectation for the year landed at 19.3%. On an adjusted tax rate for the full year and expect to be in this 20 to 21% range next year. As we continue to earnings growth. So that earnings growth will sort of naturally get us closer to the US corporate rate, especially given the strength of growth in our US business. And then lastly, on buybacks, I would just say, as Christophe mentioned before, the balance sheet is in a very, very good place. No change to our philosophy is we ended the year at a net leverage of about 1.7 times. We repurchased that includes repurchasing about a billion dollars of shares in 2024, and then future buybacks are really gonna be dependent as it always has been on our investment opportunities including M&A. So with the balance strength that we have, it gives us a lot of opportunity to invest both inorganically and organically, and you'll see that in the CapEx as we talked about this increase to 7% of sales. So as what I have right now, I would expect normal levels of buybacks but consistent with our historical capital allocation philosophy and we will invest in the business as a number one priority.
Operator: Our next question is from the line of Chris Parkinson with Wolfe Research. Please proceed with your question.
Chris Parkinson: Great. Thank you so much. Just when thinking about the water segment, I'm looking at the growth between, you know, light downstream heavy and mining. Just given the long-term outlook in data centers, microelectronics, some of the things you're obviously already benefiting from and, you know, obviously, growing a more significant baseline. You know, is there just a general mathematical equation that would get us to, let's say, more of a mid-single-digit, like a 5 or a 6% growth rate especially a 2% pricing that you foresee for, like, 2026 or 2027, just what's the best way to triangulate that over the long term? Because it seems like some momentum is beginning to build there. Thank you.
Christophe Beck: Yeah. Well, you're right. So the industry also had to go through a lot of value price as you know. So over the last few years, the team did an exceptional job while keeping volume momentum in its especially so keeping customers. We have these core principles as a company that we keep customers for life, and we've done that very well over the last few years. The shift of gears that industrial did almost a year back now, well, has been to focus on businesses like Global High-tech with the data centers, with the fabs that are picking up speed. So when you look at the 1% to 2%, to 3%, in industrial, it's a big business, obviously, so you have some fast-growing businesses in there and some less fast-growing businesses as well. So within water, but the global high-tech which is $300 million plus today, while growing pretty fast at very high margin is gonna influence the overall industrial profile in the midterm as it grows obviously, in importance versus the size of the overall business. So if you've liked industrial which we call water, by the way, so as of 2025 in the past, you'll like it even more in 2025 and in the years to come because our presence in those two big sectors is gonna be critical. In the future. And the other businesses as well. In food and beverage and in downstream and in paper. They're all doing some really good work. As well as to improve the core performance. Of those older businesses, if I may say. It's a combination of all the businesses, core businesses, strong, solid, and improving. And on top of it, the new engines, adding to the scheme as well, will be a good equation long term. Of our industrial.
Operator: Our next question is from the line of Josh Spector with UBS. Please proceed with your question.
James Cannon (for Josh Spector): Hey, guys. Congrats on a good quarter. This is James Cannon off for Josh. Just wanted to touch on with some of the moving pieces that have happened in the healthcare and life sciences business. You just level set for us kinda how much is moving from healthcare into the institutional segment, what that kinda does on a margin profile. And, like, what the remaining standalone life sciences business looks like.
Christophe Beck: Yeah. You will see more obviously, as we report the first quarter, healthcare is roughly half a billion of sales at pretty low margin, and that's gonna move. So into the INS group. It's gonna have an impact probably of one percentage point top line and one percentage point margin. That's basically what's gonna happen optically of this the business themselves don't change. It's just the math. That's regrouped healthcare within INS. But INS, very strong, very healthy, and the leverage that we are creating so between healthcare and institutional, well, it's gonna be beneficial for both. Ultimately. So INS is still gonna be 20% wide type of business, so very healthy, very steady, and it's gonna keep getting better in the future. On the life science side, well, you'd see the exact numbers at the end of the first quarter. But it's between $500 million and a billion in sales. We're investing quite heavily in that business. Underlying performance of OI of life science is in the mid-twenties. But with what we invest, it's more in the low to mid-teens today. But it's really keeping in mind, we're building capabilities, capacities, teams, systems, innovation, to build the business that north of 25 and hopefully, at some point, north of 30% as well. So very pleased with what we're doing. And, ultimately, we're having that as a separate reporting segment for you to have the transparency, the visibility of what's happening, what we're doing, and where we're heading. Because I firmly believe that life science is gonna be a terrific business so far as going forward.
Operator: Next question comes from the line of Kevin McCarthy with Vertical Research Partners. Please proceed with your question.
Kevin McCarthy: Yes. Thank you, and good afternoon. Maybe a two-part question. The relative margin differential between your US businesses and your international businesses and whether that's stable or narrowing or widening. And then secondly, a question on your foreign exchange guidance. Why is it the case that currency is expected to be a larger drag of 4% on your bottom line relative to 3% on the top line?
Christophe Beck: So let me have maybe, Scott, start with the second part of your question.
Scott Kirkland: Yeah. Kevin, the simple answer. First of all, it's a pretty small difference. We're talking 3% on reported sales and 4% impact of translation FX on EPS. So pretty small difference, but the simple answer it's just a result of geographic mix is the simple and obvious answer.
Christophe Beck: And on the OI margins, so the US is above average of the company, and outside the US is below average of the company, but not that much. Actually, it used to be way lower. A few years back, and today, pretty close. Both are improving. The 20% OI margin, by the way, at the market level is the same objective for everyone around the world. Some markets have crossed that line already, and everyone in the company is having that objective and trying to get beyond the 20% in all of the eleven markets that we have around the world. So, generally, pretty healthy across the planet, and I really like where we are.
Operator: Our next question is from the line of Justin with Baird. Please proceed with your question.
Justin: Yeah. Hi. Good afternoon. What was my question? One simple question on the OneEcolab initiative is kind of ahead of the plan in and it looks like right around a hundred million in 2024, you have a million orders. And so I guess I'm just curious, is the $225 million still the right number? But loaded everything, or is that number gonna move a little higher?
Christophe Beck: Yep. Let me pass it to Scott. You were breaking up, so it was a bit hard to hear you. But what we understood was the pacing of the savings for the OneEcolab initiative. And if it's not, what you had in mind, so please just ask again, making sure that we answer what you're looking for.
Scott Kirkland: Yep. So, Justin, on the program, I just want to first start by saying, of course, as we've talked, this program is really about enabling the sales growth. That is the primary purpose. Accelerating that path to the five to seven and taking advantage of this $55 billion cross-sell opportunity that we've talked about. But as you said, the program included $140 million of savings, which we expected and talked about last year after in Q3 when we rolled out the program that we'd expect that to be pretty proportionate pretty even over the first three years over the three years of the program. Of course, if you take that $140 million of savings, again, that's like, averaging 1% of sales a year. So, again, the big impact is not sorry, on SG&A. The big impact is not on SG&A, but on driving the sales growth. But within that savings, it's gonna allow us to continue to invest in the business, and that pacing, as we've reacted to the FX and just driven that program, we're expecting it to be a little bit more front-loaded whereas you'd expected a third, a third, a third previously. We're probably expecting 40 to 50% of that savings to happen next year in 2025.
Christophe Beck: And I'd like to build on what Scott just said. So two things on OneEcolab. So it's clearly a growth initiative. The fact that savings are coming in better and faster is a very good sign. And it's a very good sign of adoption by our team and our customers. It's not that we're cutting or doing some weird things here. It's a performance project to accelerate growth, and it's important to keep it that way in mind. So that's the first part. Improving faster than expected, which is really good. And second, from a growth perspective, the best example is in our F&B business, where OneEcolab has been leveraged in the last few months, bringing hygiene and water together as one offering of our customers. This is working really well. You've seen the results of F&B are improving as well at the same time. So it's really showing that the OneEcolab initiative, which has been an old dream in a way, is really hitting on both fronts. Performance. And growth sector generation, which is exactly what we were looking for early in the journey, but very encouraging early signs of success.
Operator: Our next question is from the line of Andres Castanos with Barner. Proceed with your question.
Andres Castanos: Hello. I want to ask about the acceleration in the charges for the application implementation of OneEcolab. It seems that we are close to $100 million in 2024 out of $225 million that was budgeted by 2027. So my question is, is that I re this will run over budget? Thank you.
Scott Kirkland: No. Not at all. Just to answer your question really simply, as we talked about, we've had great execution. We're accelerating the program. Just naturally, the cost will be more front-loaded because you recognize the accounting for the cost earlier, and then the savings happen over time. And once you identify where those cost savings are gonna be so that is natural in every program that we've restructuring program that we've had, but again, because we're accelerating safety next year, seeing some of that those costs a little bit front-loaded. But in terms of the returns, and the payback on the program itself, we will not see any difference.
Operator: Our next question comes from the line of Mike Harrison with Please proceed with your question.
Mike Harrison: Hi. Good afternoon. In terms of the healthcare business, going under the institutional segment, I was curious is this basically just taking the operational changes you've made and now formalizing it into your financial reporting structure, or are there some additional changes happening to how you're running that business and integrating that more with the institutional approach?
Christophe Beck: No. It's exactly what you said, Mike. It's if you remember, so on healthcare, I've made a commitment to solve that business, which means getting this business to a place which is creating value, for shareholders, we had a few steps. The first one was getting the cost structure right. The second was the bifurcation of surgical versus infection prevention. The third was to sell the surgical drapes business. We've done that very successfully so. It's a done deal. By the way, it worked out really well with the carve-out and sales to Medline worked out really, really well. And the last step was to leverage institutional because we have institutional with a huge critical mass. It's especially in the US, serving so many locations. Where you bring, obviously, the institutional service, in the food service, in the hospitality part, and then bringing infection prevention was a very natural ad to serve hospital the best possible way. So getting those two together reported, in the same segments made a lot of sense because that's the way we will operate. Going forward. So that's the way we need to report as well at the same time. That being said, as I've mentioned, the future of healthcare will be in instrument reprocessing. This is kind of a dish machine business, obviously, at the highest standard because it needs to be disinfected or sterilized depending on the instruments that you are processing here. It's a business model that we know extremely well. We know how to make money with it as well. We have the capabilities. We have the reach. We have the footprint for it as well. So that's gonna add to it. But again, a business that's very similar to what we do in institutional in these rooms. Just for different types of equipment at a different standard of cleaning as well. So I feel pretty good. With the evolution that we've gone through with our healthcare business. Finally, it was time, obviously, to get to the right place but I think that we're in the right place and heading in the right direction too.
Operator: Our next question is from the line of Scott Schneeberger with Oppenheimer. Please proceed with your question.
Scott Schneeberger: Thanks very much. Good afternoon. Yeah. I have two, I'll say them both upfront. On the digital pest intelligence program, Christophe, how long is the investment cycle there? Is that quarters, years? And when and how will we see the benefits reflected? Will it be top-line? Margin, just curious what we should see down the road. Thanks. And then on the follow-up, just on cross-sell, could you talk about where you are with cross-sell, particularly your top 35 customers? As you enter 2025, how meaningful can that be? Thanks.
Christophe Beck: Hey. Thank you, Scott. So two very different questions, obviously, here. The pest intelligence timing, when you think about it, it's thousands of people. It's millions of devices that you need to shift from analog to digital. This is something we know very well how to do. But this is physical work beyond the digital component. Obviously. So it's gonna take some time. Think it's gonna be a few years, but we're gonna do it in a smart way. As we've always done. It's in a pay-as-you-go type of approach in a very typical Ecolab Inc. manner. As I mentioned before as well here, we can afford it because of the strong cash duration that we have as a company. The strong balance sheet that we have, the strong business franchise, with pest elimination, so we might have some slight reduction of margins so for a while, as we did, we have, like, science to make sure that ultimately we end up with a margin that's even better, than where we were and where we are as well today. So a few years but it's gonna be done in a very healthy manner. There will be no big shock, no big surprise, and we will share with you progress that we're making. And so far, so good. Some of the key customers, well, one of them is probably the largest retailer, in the world. Which has been our main partner to develop that solution. Is almost done, progressing very well. We have much better results as well at every retail location in the US. The customer very happy. We've learned a lot during that path as well. We had to adjust a few things. We still have to do it as well. We're learning with them, but it's the right partner. For us to develop the solution of the future. So so far, so good. Now your second question, on cross-sell, which is the OneEcolab initiative, so it's capturing our fair share of the $55 billion cross-sell or penetration, opportunity that we have. As mentioned, the top 35, we have a $3 billion opportunity as well out there. Well, F&B, as mentioned before, is a perfect example of a business benefiting so from it. Because many of their customers are in those top 35 as well. We see the performance improvement if in F&B is coming from there. For most of those 35 customers, we have focused plans that are enterprise-wide plans Ecolab Inc.-wide, and customer-wide as well at the same time. Where we know ultimately what's the best in class performance. As I've shared with you, it's really for each of those 35 customers that we can help them understand what's the best in class performance in terms of business outcome, cost performance, environmental impact. And the difference between best in class performance and every of their location, what translates into the max dollar potential that we can get or that they can get and we have plans to get this up within the next few years. Very well received by customers because they see ultimately better products, better cost profile, and lower impact on the environment while it's hard to beat especially when you can do it at a high return. Which means higher TV deals and the pricing they're paying for it as well. So so far, so good. Good progress, and the best is to come.
Scott Schneeberger: Thank you.
Operator: Final question is from the line of John Roberts with Mizuho Securities. Please proceed with your question.
John Roberts: It's been answered. Thank you.
Christophe Beck: Oh, that was a quick question, John. Well, thank you. So to everyone. Really like the record performance that we delivered in 2024. The world is a bit complex in 2025. But feel really good with our plans, how we've started the year, delivering this 12 to 15, which was our commitment, my commitment, so feel good for 2025. And most importantly, I feel even better for where we're going beyond 2025 with data centers, with microelectronics, with life science, with Ecolab Digital, and ultimately, with the best team in the industry. And that's what makes me believe even more in our future and we will deliver as we've always done.
Andy Hedberg: Thank you. That wraps up our fourth quarter conference call. This conference call and the associated discussion slides will be available for replay on our website. Thank you for your time and participation, and hope everyone has a great rest of the day.
Operator: Ladies and gentlemen, you may now disconnect your lines at this time.